Operator: Good morning, and welcome to the Alerus Financial Corporation earnings conference call. All participants will be in listen-only mode. Today's call will reference slides that can be found on Alerus Investor Relations' website. You can also view the presentation slides directly within the webcast platform. After today's presentation, there will be an opportunity to ask questions for analysts and institutional investors. To ask a question during a session, you will need to press 11 on your telephone. You will then hear an automated message saying your hand is raised. To withdraw your question, please press 11 again. Please note this event is being recorded. This call may include forward-looking statements, and the company's actual results may differ materially from those indicated in any forward-looking statements. Important factors that could cause actual results to differ materially from those indicated in the forward-looking statements are listed in the earnings release in the company's SEC filings. I will now turn the conference over to Alerus Financial Corporation President and CEO, Katie Lorenson. Please go ahead.
Katie Lorenson: Thank you, and good morning, everyone. Thank you for joining us. I appreciate this opportunity to share reflections on the year and offer some perspective on the strategic position and momentum of our company as we enter into 2026. Joining me today is Alerus CFO, Alan Villalon; COO, Karin Taylor; Chief Banking Revenue Officer, Jim Collins; and Alerus Chief Retirement Services Officer, Forrest Wilson. 2025 was a milestone year for Alerus in which we demonstrated not only strong core financial performance but significant execution of major strategic initiatives that position the company for sustainable organic growth and a return to top-tier profitability and performance. I'm incredibly proud of what our team accomplished, not just for the financial results, including posting a core ROA of 1.62% this quarter, but for the collaborative efforts to accomplish these initiatives during the year. It is evident through our ability to set goals, hold each other accountable, and exceed expectations that the leadership team and the talent throughout this company are exceptionally strong and deep. One of the most notable accomplishments of 2025 was delivering results well above our committed targets, both financial and non-financial, in our first full year of operating as a combined organization with Home Federal. We delivered an adjusted ROA of 1.35% and an adjusted efficiency ratio of 64.45%. In addition to a net retention rate of deposits close to 95%, we achieved critical retention of key talent throughout the organization. These results solidify our integration capabilities of aligning people, systems, resources, and culture quickly and effectively. Our focus in 2025 was to continue to enhance our commercial bank and to sustainably improve returns while focusing on our long-term strategy. In the back half of the year, we executed a purposeful deleveraging plan, actively managing loan paydowns and pruning marginal credits to strengthen our balance sheet and improve our flexibility. As we saw success in these initiatives, we took disciplined steps to sell our legacy low-yielding available-for-sale securities portfolio. This balance sheet repositioning improved our earnings power going forward, reduced our AOCI volatility, enhanced capital generation capacity, and gave us greater flexibility for lending in our markets. The deliberate steps we took position Alerus for stronger performance and tangible book value growth in 2026 and beyond, demonstrating our commitment to creating long-term sustainable value for our clients, our communities, and our shareholders. On the banking side, we saw a steady build of momentum throughout 2025, especially in the second half of the year. Excluding the purposeful reductions in CRE, the targeted loan sales, and our selective managing of renewals, organic loan growth for the year would have been closer to mid-single digits. Of note, our strategic entry into the mid-market C&I space gained real traction as we moved through the year, and we enter 2026 with a strong pipeline. Organic core deposit growth also picked up momentum in the back half of the year, with the focus shifting from retention as the team members worked through the deposit system conversion. We're seeing some nice large opportunities for mid-market and government not-for-profit treasury management in early 2026, which should enhance our deposit growth through the year. From a margin perspective, strong pricing discipline on both sides of the balance sheet throughout the organization drove the core NIM higher. Nonperforming loans ticked up higher with the migration of an acquired purchase participation that was previously identified as a problem loan. This is a multifamily property in the Twin Cities with a 15% reserve, and it should resolve relatively quickly. Our largest non-performing exposure continues to be a large multifamily loan in the Twin Cities, with a book balance of approximately $32 million. This property now has multiple offers and is currently 74% leased. We are reserved at about 17% and continue to expect resolution by midyear. Leading credit indicators showed meaningful improvement over 2025, including a 30% reduction in criticized asset levels. While we had another quarter of net recoveries and a slight reserve release, the allowance for loan losses remained robust at 1.53% of total loans. In addition, capital accretion boosted the TCE ratio to 8.72%, putting the balance sheet in a strong position for organic loan growth. Moving on to our ultimate differentiator, our fee income businesses, where we grew core revenues 7% year over year. Although our most recent acquisitions have been strategic bank additions in key markets like Rochester, Minnesota, and Phoenix, Arizona, we have maintained fee income at over 40% of total revenues, almost three times the average of most financial institutions. Notably, we ended the year with assets in our retirement and wealth divisions at nearly $50 billion, or 10 times the assets in our banking division. Our retirement division delivered strong results, including robust sales, continued better-than-industry client retention, and growth in plans and participants. We ended 2025 with the strongest revenue momentum this division has seen. Momentum, we believe, will continue into 2026 and beyond. The retirement business remains integral to our overall success, providing over a quarter of the company's funding and serving as a powerful internal source of wealth management opportunities. In 2025, we continued to expand our national presence through partnerships, anchored in our distinguished reputation for outstanding client service. As the twenty-fifth largest provider in the country and with a new leadership team in place, we will continue to invest in technology and AI to enhance scalability and improve margins. During the year, we successfully converted our entire wealth business onto a new system, achieving 100% client retention, thanks to excellent execution by our support team and the high-touch service delivered by our wealth advisors. This reinvestment strengthens our foundation and positions us to advance our strategic plan to double the number of advisors across the Alerus franchise, with the aspirational goal of growing our wealth assets at the same pace as our banking assets. Earlier this month, we finalized the first step in building our next-generation team with the selection of our new wealth management leader, an experienced professional with deep expertise in wealth, trust, and institutional advisory, and a proven ability to recruit talent and drive key strategic initiatives. On a core and reported basis, we saw strong operating leverage even as we modernized our systems, implemented new core platforms, and strengthened our digital capabilities. While we produced record levels of sales throughout many of our business lines, we did this all while managing our headcount down over 6% from its peak in October 2024. These upgrades allow us to move faster, create more consistency in client experience, and operate with greater scalability. They also ensure we are building a future-ready organization, one that is ready to embed AI and automation where it improves quality, efficiency, and client insights. CET1 capital levels ended the year at 10.28%, up from 9.91% a year ago, giving us ample flexibility to support growth, sustain our dividend, and selectively pursue opportunities. Our primary focus remains on organic growth and strategic hiring as we continue to see meaningful talent and market share opportunities stemming from recent M&A disruption in the Twin Cities. As the second-largest locally led financial institution in the market, with $55 billion in banking, wealth, and retirement assets, nearly $300 million in adjusted revenue, and over $600 million in market cap, Alerus is well-positioned to capture this momentum. Over the past several years, we have successfully lifted out high-performing teams and professionals, leveraging our deep expertise in C&I, private banking, and wealth management. Strong synergies across these business lines, combined with our expanding physical and brand presence in the Twin Cities, position us to continue attracting top talent, growing C&I relationships, and serving more high-net-worth clients. As we enter 2026, we do so from a position of strength and are set for continued momentum. We have a unified and clearly defined strategy, a modernized operating environment, a de-risked future-ready balance sheet, durable diversified revenue engines across banking, wealth, and retirement, strong capital and liquidity, a deep leadership team built for the next chapter, and a culture centered on accountability to each other, our shareholders, our clients, and our communities. We expect to continue generating positive core operating leverage, expanding tangible book value, and delivering top-tier long-term returns. The work we did in 2025 integrating, modernizing, de-risking, and aligning creates the conditions for stronger and more consistent performance in the years ahead. And with that, I will hand it over to Alan Villalon.
Alan Villalon: Thanks, Katie. Before I start, let's recap at a high level 2025, as you can see on page eight of our investor deck that is posted on the Investor Relations part of our website. We just posted record adjusted earnings and over 21% adjusted return on tangible equity after the biggest acquisition in company history. Also, we continued our strategic balance sheet repositioning to ensure continued success in driving shareholder value creation. Over the past several years, the company's risk and return profile has dramatically improved for the better. Change takes time, and change will continue as the environment changes. I'll now jump to Page 11 of our investor deck to go over our financials in more detail. On a reported basis, net interest income increased 4.7% over the prior quarter, while adjusted non-interest income increased 8.3%, which excludes the loss in securities and other one-time items. Net interest income grew due to a decrease in our cost of funds. Fee income grew as revenues grew both in our retirement and wealth segments. Overall, fee income, excluding the loss in securities, continued to remain over 40% of revenues and over double the industry average. Let's dive into drivers of net interest income on the next slide. Turning to Page 12, in the fourth quarter, net interest income continued to reach new heights at $45.2 million. Our reported net interest margin increased to 3.69%. Total cost of funds decreased 16 basis points to 2.18%. We also had 52 basis points related to purchase accounting accretion and non-recurring items in the quarter. Excluding these 52 basis points, core interest margin was 3.17%, a 12 basis point improvement from the third quarter. We continue to remain disciplined in pricing on both loans and deposits. In the fourth quarter, we saw new loan spreads of 258 basis points over Fed funds, while deposit costs were coming in at 116 basis points below Fed funds. These spreads make up what we call a new business margin of 374 basis points. This is a very strong margin, and we continue to expect to build core net interest income to replace purchase accounting accretion. Let's turn to Page 13 to talk about our earning assets. At the end of the fourth quarter, loans decreased 1.3% over the previous quarter. The decrease in loans was driven by strategic downsizing of the loan portfolio to help improve our overall risk profile. As previously mentioned, we pushed out credit risk from non-core loans and did not renew certain relationships. Overall, our loan mix remains around 50% fixed and 50% floating. On investments, we sold $360 million of available-for-sale securities, which represented over 68% of total AFS securities. The securities sold had an average weighted yield of 1.7% and a weighted average duration of 5.1 years. Proceeds from the securities sale were reinvested into new investment securities with a weighted average yield of 4.7% and a weighted average duration of just over three years. Excluding balance sheet derivatives, we remain slightly liability sensitive. Any 25 basis point cut in Fed funds should help improve our net interest margin around five basis points. Turning to page 14, on a period-ending basis, deposits declined 5%, mainly due to the calling in of over $165 million in brokered deposits and the running off of another $45 million in other wholesale funding to optimize our cost of funds. Excluding the intentional optimizations, deposits declined approximately only $10 million or 0.2% from the prior quarter. Despite the overall decline in deposits, our loan-to-deposit ratio was 96.6%. Lastly, since the close of the acquisition of Home Federal, the deposit retention rate remains close to 95%. Turning to page 15, I will now talk about our banking segment, which also includes our mortgage business. I'll focus on the fee income components now since net interest income was previously discussed. Mortgage saw only a 4.2% decrease in originations during the quarter. We usually see a bigger seasonal slowdown in mortgage, but we saw refi activity pick up in the fourth quarter. Currently, we are seeing the usual slowdown in originations, as January is off to a slower start. Lastly, we saw approximately $1 million in swap fee income this quarter. A reminder, swap fee income tends to be lumpy from quarter to quarter. On Page 16, I'll provide some highlights on our retirement business. Total revenue from the business increased to $17.3 million, a 4.6% increase over the prior quarter. Most of the increase was driven by growth in both asset and transaction-based fees. Assets under administration and management increased 2.1% due to market performance and net positive asset flows into our retirement business during the quarter. Synergistic deposits within our retirement segment grew 5.6% over the prior quarter. HSA deposits grew over the prior quarter to over $203 million. HSA deposits continue to remain a strong source of funding for us as these deposits only carry a cost of 10 basis points. These deposits are a valuable source of funding for the bank, which are not reflected in the margin information in the slide. Turning to Page 17, you can see highlights for our Wealth Management business. On a linked quarter basis, revenues increased 13.4% to $7.4 million, while end-of-quarter assets under management increased 0.8%, mainly due to market performance. Revenue increased due to an increase in asset-based fees. Page 18 provides an overview of our noninterest expense. During the quarter, noninterest expense increased 2.7%. The increase was partially driven by an increase related to the opening of a new facility in Fargo, North Dakota. We also saw an increase in technology expenses driven by new core systems such as our wealth and online banking platforms. Professional fees increased related to the balance sheet restructuring that occurred at the end of 2025. Turn to page 19, you can see our credit metrics. During the quarter, we had net recoveries of three basis points. The quarter-over-quarter decrease was primarily driven by a $1.9 million recovery in 2025 related to a loan that had previously been charged off. Nonperforming assets were 1.27%, an increase of 14 basis points from the prior quarter, driven by a slight increase in nonperforming assets and a decrease in overall assets. I'll discuss our capital liquidity on page 20. The tangible common equity ratio improved to 8.72% versus 8.24% in the prior quarter. We continue to have close to $2.8 billion of liquidity to help support loan growth and any liquidity events. We remain committed to driving tangible book value growth with excess capital being used to support organic loan growth, our dividend payout, and share repurchases. Now turning to page 21, I'll update you on our guidance for 2026. We expect the following: For 2026, we expect loans to continue to grow at a mid-single-digit growth rate. We expect to grow deposits in the low single digits. As previously mentioned, we have ample liquidity to meet any loan growth in excess of deposit growth. For 2026, we're expecting our net interest margin to be around 3.5% to 3.6%, which will include about 16 basis points or just over $8 million of purchase accounting accretion and no early payoffs. This is close to a 60% reduction of purchase accounting accretion from 2025. You'll continue to see improvement in core net interest margin replacing purchase accounting accretion from 2026. As a reminder, improvement is not linear. With the aforementioned guidance, net interest income is projected to grow in the low to mid-single digits for 2026. We expect our adjusted noninterest income to grow in the mid-single digits driven by continued core growth in our wealth and retirement businesses. No swap fee income is included in this guidance as it tends to be difficult to estimate and is dependent on client demand. Overall, net revenue is poised to grow in the mid-single digits. Noninterest expense is expected to grow in the low single digits, which shows our commitment to driving positive operating leverage. For 2026, we expect our ROA to exceed 1.2% for the year. We do not have any further Fed cuts in our expectations for 2026. And, again, for every 25 basis points cut in rates, we expect NIM to improve by about five basis points. While we showed the underlying potential of this better and bigger company in 2025, 2026 is about continued improvement. Our core businesses will drive returns higher. So get on the bus and buy some Alerus.
Operator: With that, we will open up for Q&A. The first question comes from Brendan Nosal of Piper Sandler. Your line is now open.
Brendan Nosal: Hey. Good morning, everybody. Hope you're doing well. Maybe just starting off here on kind of balance sheet dynamics for '26 with the mid-single-digit loan guide and then the deposit guide for low single. You know, totally get that you had the liquidity to fund the loan growth that you're seeing coming through. Maybe just speak to your comfort bringing up the loan-to-deposit ratio from current levels and is there any kind of internal ceiling that you want to manage around from here?
Alan Villalon: Brendan, I think this is Al. We try to manage around a 95% loan-to-deposit ratio, but we also acknowledge that we typically see that tick up as we see some outflows from our public funds, especially in the second and third quarter of every year, but we look to usually have around a 95 to 96% loan-to-deposit ratio.
Brendan Nosal: Okay. Thanks. Maybe turning to expenses. Just kind of curious, with what you have underlying that outlook in terms of tech investments or room for team adds across the year? Kind of baked into that outlook?
Alan Villalon: So in terms of team adds, I'll let Jim talk about that, but we do have adds incorporated into that guidance. Also, from a tech standpoint too, we've incorporated our contract that has some variable costs going up over the year and also the new platforms we just implemented.
Jim Collins: Yeah. We have adds for specifically in the wealth areas embedded in the expenses in '26. And a number of adds in commercial banking embedded in the expenses for '26.
Brendan Nosal: Okay. Fantastic. Thanks for the color and taking my questions.
Alan Villalon: Thanks, Brendan.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Jeff Rulis of D.A. Davidson. Your line is now open.
Jeff Rulis: Thanks. Good morning. Question on the loan growth expectations and even the fourth quarter runoff. I want to get a read on a portion of which was credit trimming, maybe in the ticket fourth quarter first, and any idea of kind of the portion of that runoff that was maybe driven by you or credit trimming?
Jim Collins: I'll take that. This is Jim. A fair amount of it was designed. Right? We certainly wanted to run out some of the marginal credits or the credits that were credit-related, but we also wanted to drive out orphan credits or non-full relationship credits and pare down our CRE concentrations and really build up our C&I. So as we look at our portfolio and know that the profitability of C&I is a lot higher than our CRE and changing our mix, pairing down our CRE, we're building up C&I. We don't want orphan relationships. We want full relationships. And we want to push out any marginal credits that we think might end up in the credit box. And we will continue that philosophy in '26. That's why we're looking at a mid-percentage of loan growth in '26.
Jeff Rulis: And, Jim, if I were to look at kind of year over year, low single digit in '25, mid in '26, and understand the mix focus there. But would you fair to say the sort of targeted or designed runoff in '26, that's less of a headwind than you saw in '25?
Jim Collins: Yes. I would.
Jeff Rulis: Okay. Great. And somewhat related on the Katie, I think you touched on the linked quarter nonaccrual lift. Again, what was that in terms of type and segment?
Karin Taylor: Sure, Jeff. This is Karin. I can take that. The increase was related to a multifamily loan that we acquired. It is here in the Twin Cities. We've got a 15% reserve on it. There are already offers on the property, and so we expect that that will resolve certainly in the first half of this year.
Jeff Rulis: That's great. And last one for me on the margin. Al, the trajectory of that through the year, it's a 10 basis point range, three fifty to three sixty. But you know and again, does not assume rate cuts. I appreciate the language there. But through the course of the year, is it kind of steady state, three fifty five, or kind of do you see it building throughout the year? Any color on the pace of the margin over the year?
Alan Villalon: Yeah. Thanks for the question, Jeff. It's going to be gradual, and the way I determine it is going to be really dependent on how our deposit flows ebb and flow, especially, you know, as we see those summer months come in and the public funds go out. So I would expect some gradual improvement in there, but that's why I made the comment it's not really linear.
Jeff Rulis: Okay. I appreciate it. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Nathan Race of Piper Sandler. Your line is now open.
Nathan Race: Yes. Hi, everyone. Good morning. Thanks for taking the questions. Just going back to the margin discussion, Al, wondering if you had the dollar amount of accretion in the quarter. And maybe what's a good starting point for the core margin ex accretion just given the full benefit of the securities portfolio reposition that you'll have in the first quarter?
Alan Villalon: Yep. So last year, we had approximately about $20 million of purchase accounting accretion from 2025. This year, we're looking for about eight. And I would say that that eight is pretty evenly spread out. So I'd say a little bit over $2 million in the first quarter and kind of scaling down to just right at $2 million in the fourth quarter. And then I think a good exit rate right now is looking at $3.17 we had in the fourth quarter and growing it from that.
Nathan Race: Okay. Great. Really helpful. And then, Katie, your comments around kind of trying to double the wealth management advisors across the franchise going forward. I was wondering if you could just speak to kind of the timeline and kind of where you're at in terms of, you know, that headcount and then kind of where you're looking to add, you know, additional depth to the wealth management team going forward?
Jim Collins: This is Jim. I'll take that one. We have 26 advisors now in all the markets. We certainly want to add more advisors in our larger markets, the Twin Cities, Phoenix, and Wisconsin. We've already added one this year who will start here in a couple of weeks. We've had slated for another six or seven the rest of this year spread out throughout the markets. We will take the opportunity to add talent where we find it. So I'm not exactly sure at this point where we're going to find it, but we plan to actively recruit. We are actively recruiting in all markets. So it depends on where we find it. But we are actively recruiting in all markets. We plan to add those throughout the year, but, again, it's all dependent on when we find the right talent at the right time.
Nathan Race: Okay. Perfect. That's helpful. Thanks, Jim. And then would just be curious to get an update. You know, you guys still even with the balance sheet repositioning in the quarter, still have a nice excess capital position and that continues to build just given the profitability improvement that was alluded to in the guidance. Maybe just curious to get an update from Katie in terms of if you're feeling more optimism these days in terms of the opportunity set out there to perhaps augment the retirement platform via acquisition.
Katie Lorenson: Sure. Thanks, Nate. I would say on the capital front, priorities remain consistent with what they've been over the course of the past several quarters and years. So organic growth, number one. Team lift-outs, market share opportunities, dividends, buybacks, and obviously on the M&A front, and that retirement and HSA space continues to be a priority for us. We continue to expand and deepen the conversations that we're in with potential partners. And those, again, that's agnostic to location in the country. We will remain selective and disciplined and make sure that they're good matches. But I would say, overall, yeah, we continue to build our pipeline of potential partners in that space.
Nathan Race: Okay. Great. Very helpful. I'm sorry. If I could just sneak one last one in for Al. On the expense side.
Alan Villalon: Yeah. Go for it, Nate. Sorry.
Nathan Race: Yeah. Sorry. On the occupancy expenses, I appreciate that that included the cost with the location in Fargo. Does the increase from 3Q to 4Q, does that kind of come out starting the first quarter?
Alan Villalon: Oh, there is something in the fourth quarter, but then we had actually some real there's going to be a tick up in occupancy because we did have the opening of a new facility as well.
Nathan Race: Okay. So any thoughts on just a better run rate for that number going forward?
Alan Villalon: Well, I mean, we're still looking at, you know, again, low single digits for expenses over the year. I mean, we exited, you know, the quarter roughly around $51 million. I mean, I would just grow it from that.
Nathan Race: Okay. Fair enough. I appreciate all the color. Congrats on a great quarter. Thanks, everyone.
Alan Villalon: Thank you. Appreciate that, Nate.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Damon Del Monte of KBW. Your line is now open.
Damon Del Monte: Hey. Good afternoon, everyone. Hope you're all doing well. First question is it relates to the loan growth. How much of your view on the growth is being driven just by continued strong underlying economic trends versus opportunities that are being created through market disruption from M&A?
Jim Collins: I would say, what I see going into '26, it's probably for us, it's probably mostly market disruption and market share from the talent that we've acquired over the last three years. So if I was to guess, it's probably going to be seventy thirty. 70 from the talent and the relationships that they know at other banks and market disruption. And 30% of just economic growth. That's my best guess rolling into '26 at this point. But talking to business owners, it feels like '26 is going to be a good year for a lot of businesses.
Damon Del Monte: Great. Appreciate that color. And then with respect to credit and trying to think about provision, Al, any thoughts on kind of how you see the provision playing out over the upcoming quarters?
Karin Taylor: Yeah. Damon, this is Karin. I'll take that. You know, I think the provision in '26 is going to be driven by loan growth and macroeconomic factors. We feel that we're adequately reserved on those non-performing deals. And with improving credit metrics, we think the primary growth in reserve will be able to grow.
Damon Del Monte: Great. And I may have missed this earlier, but are you guys anticipating any of those non-performers moving off here in the upcoming quarters to kind of lower some of those ratios?
Karin Taylor: Yeah. We've got several in that bucket where we expect resolution in the first half of the year.
Damon Del Monte: Okay. Great. And then just last question on the tax rate. What's a good tax rate we should think about here for 2026?
Alan Villalon: 24%, Damon.
Damon Del Monte: Perfect. Okay. That's all that I had. Thanks so much.
Operator: Thank you. One moment for our next question. Our next question comes from the line of David Long of RJ. Your line is now open.
David Long: Good morning, everyone.
Jim Collins: Hey, Dave.
David Long: Hey. On the deposit side, just curious what you're seeing on competition, both from your retail deposits and the HSA deposits. Does it differ across the different platforms? And is the pricing that you're seeing, do you feel like it's rational?
Jim Collins: This is Jim. I think it's very competitive. I think in all markets, it's competitive. It's competitive on the retail side. It's on the commercial side. I think we have a fairly good strategy in place for 2026, but it will be, again, very competitive across the boards. Is it rational? Generally speaking, yes. I think in pockets, you'll find some banks that are being aggressive. You can say that's a little irrational sometimes, but generally speaking, I think I would just put it as very competitive. So '26 will be very competitive for deposits. That's, you know, Al's comment earlier. That will be the kind of the part of the NIM that will be how will be affected throughout the year on where that kind of levels out throughout the year. So we're going to work extremely hard on that piece throughout the entire year, but it's going to be very competitive.
David Long: Great. And then just a follow-up to that. As you're thinking about the loan growth in the next year, how will the mix look differently with your guide at the end of '26 versus what we're looking at here at the end of '25?
Jim Collins: As I commented earlier, we're really focused on full C&I relationships. So the portfolio in '26 is really gearing up like we've trended towards the end of '25 is really full C&I relationships. So we're trying to change the mix to more full C&I and less CRE. So the goal at the end of '26 is to change that mix to more C&I, more mid-market C&I. Hopefully, that answers your question.
David Long: Yeah. No. That's definitely helpful. And looking at the deposit side too, how do you see the concentration on the deposit side changing?
Alan Villalon: Hey, David. Before I answer that question, first, just going to congratulate you and your Indiana Hoosiers on winning a national title. I hope to feel that euphoria someday with Notre Dame. But to answer your deposit question, I mean, we are seeing some we're continuing to see some erosion on the non-interest-bearing side because the environment is still very competitive. We're still seeing, you know, our non-maturity deposit rates around the two to 3% level in terms of, you know, new rates for new accounts coming in. So we're still going to see some shift from non-interest-bearing to interest-bearing.
David Long: Great. Thanks, Al. And, unfortunately, I did not take up your advice in purchasing the options for tickets using the CFP website, but I was able to attend the game in Atlanta at the Peach Bowl. So it was a ton of fun. Thanks.
Alan Villalon: Congrats.
Operator: Again, as a reminder to ask a question, you'll need to press 11 on your telephone. And I'm showing no further questions.
Katie Lorenson: This concludes our question and answer session. I would now like to turn the conference back over to Katie Lorenson for any closing remarks.
Katie Lorenson: Thank you, and thank you, everyone, for your time today. Thank you to all of our team members across this great company. The progress we've made together reflects the team's hard work, the strength of our strategy, and the resilience of our diversified business model. I also want to thank our shareholders, our clients, and our communities for their trust and partnership. We're excited about our outlook as we enter 2026 with confidence, momentum, and a clear vision for the future. Thank you, everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.